Operator: Good afternoon. My name is Darren and I will be your conference operator today. I would like to welcome everyone to the KB Home 2017 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the company’s opening remarks we will open the lines for questions. Today’s conference call is being recorded and will be available for replay at the company’s website kbhomes.com to October 5. Now, I would like to turn the call over to Jill Peters, Senior Vice President, Investor Relations. Jill, you may begin.
Jill Peters: Thank you, Darren. Good afternoon, everyone and thank you for joining us today to review our third quarter results. With me are Jeff Mezger, Chairman, President and Chief Executive Officer; Jeff Kaminski, Executive Vice President and Chief Financial Officer; Bill Hollinger, Senior Vice President and Chief Accounting Officer; and Thad Johnson, Senior Vice President and Corporate Treasurer. Before we begin, let me note that during this call, items will be discussed that are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are not guarantees of future results and the company does not undertake any obligation to update them. Due to factors outside of the company’s control, including those detailed in today’s press release and in our filings with the Securities and Exchange Commission, actual results could be materially different from those stated or implied in the forward-looking statements. In addition, a reconciliation of the non-GAAP measures referenced during today’s discussion to their most directly comparable GAAP measures can be found in today’s press release and/or on the Investor Relations page of our website at kbhome.com. And with that, I will turn the call over to Jeff Mezger.
Jeff Mezger: Thank you, Jill and good afternoon everyone. I look forward to sharing with you the details of our strong results for the third quarter, along with how well we are positioned for continued success in the future. But first, I want to touch on a personal matter that occurred at my residence two weekends ago that has made the news and which no doubt has come to your attention. I regretted the incident immediately and I have apologized for it sincerely. The Board of Directors has already taken action as the company has disclosed and I and the KB Home team are fully focused on leading this company into the future. Now, let’s talk about our results for the third quarter. With 25% growth in total revenues and a significant improvement in our operating margins, we reported earnings per share of $0.51. We made considerable progress on many fronts during the quarter and I will highlight a few key areas. We grew housing revenues to over $1.1 billion as we continue to benefit from our growing scale in California and a larger percentage of our deliveries coming from our highest ASP region. While our overall average selling price in the quarter was up 12% to roughly 411,000, we continue to offer product in locations that appeal to first-time buyers who accounted for 53% of our deliveries. One of the key components of the returns focused growth plan that we shared with you at our investor conference last fall was to increase our operating margin as we grow our scale. In the third quarter, we achieved a significant milestone crossing over to a higher gross margin on a year-over-year basis, excluding inventory-related charges one quarter earlier than we expected. The collective effect of taking price where we can, containing cost, opening higher margin communities while building through legacy asset and growing our scale is the sustainably higher gross margin. This increase in gross margin, together with our record low third quarter SG&A ratio of 9.6%, contributed to a 140 basis point improvement, excluding inventory-related charges in our operating margin. The combination of both significant revenue growth and operating margin improvement drove pre-tax income to $79 million, an increase of 48%. As we have talked about over the past 6 months, our community strategy has been to maintain our sales pace and capture more price and we are again successful in accomplishing this objective in the third quarter. We increased net order value by 15% to $1.1 billion on a 4% increase in net orders benefiting from our strategy as well as the mix shift towards the West Coast. Our order pace per community increased 4% in the third quarter to 3.7% per month. For broader perspective, if you look at this metric on a 2-year basis and compare our current absorption rate to the third quarter of 2015, we are up over 30% resulting in a substantial improvement in asset efficiency. We believe the key driver of our industry leading absorption rate is in delivering the compelling value to homebuyers through a differentiated built-to-order approach emphasizing affordable choice and personalization in some of the strongest housing markets in the country. On a regional basis, our West Coast region produced a 26% increase in net order value on a 10% increase in net orders, an impressive result given how strong our net orders and net order value were in California in the third quarter of last year. Market conditions remain favorable both along the coast as well as the inland areas. The Bay Area in particular continued to generate excellent results. With a growing community count and continued investment in the region. The West Coast is poised to become an even stronger growth vehicle for us going forward. Our Southwest region produced a 37% increase in net order value on a 26% net order comparison led by continued outperformance in Las Vegas. Inspirada, one of our most valuable assets, consistently produces among the highest net order rates per community nationwide. Net orders were down in the Central region due in large part to the disruption to our operations at the end of August from Hurricane Harvey. We estimate that our results were impacted in the third quarter in a range of 60 to 80 net orders, absent which net orders in the region would have been essentially flat. Central is our largest region in terms of units. And we are looking forward to augmenting our Texas business, with the restart of our Dallas operations, which has 4 new communities opening over the next few months and is expected to be a meaningful contributor to our results starting in the second half of 2018. Wrapping up the regional updates, although net orders were down in the Southeast region, our absorption per community continued its favorable trend. In particular, Jacksonville, Orlando, once again produced positive net order comparisons. And with the new communities we are targeting to open, we expect the Southeast region to contribute to our revenue growth in 2018 as well. As a result of the meaningful net order value in the third quarter, we increased our ending backlog value to $2.1 billion, which has us solidly preparation to achieve our revenue target this year and keeps us on track for continued momentum entering next year. Before I address the estimated impact to our Central and Southeast regions from Hurricanes Harvey and Irma, let me first say that we are extremely grateful that our teams in the affected divisions are safe and we appreciate the discipline with which they executed our preparedness plan to secure our communities before the hurricanes hit. In Texas, although the hurricane set a record for rainfall with nearly 52 inches of rain, we fared well. We did not experience flooding in any of our homes. The result of building in the newer areas of Houston, which have more advanced drainage system requirements and we also experienced very little wind and rain damage. We did miss approximately 50 deliveries in Texas due to Hurricane Harvey, but within the week of the hurricane, we resumed deliveries and starts and our sales office reopened with traffic and net order activity starting to recover by early September. Hurricane Irma hit Florida, the first week of our fourth quarter and our divisions remained closed for about a week. As with Harvey, we did not experience flooding in our homes and had minimal damage. We have resumed deliveries and starts and are open for sales in all communities within the region. Both Texas and Florida are now in recovery mode. However, it is difficult to project when the markets affected by the hurricane will return to normal. Our recent trends have been positive with net order results improving sequentially each week since Labor Day. Having said this, the shortfall in net orders that we experienced in September will more than likely result in a slightly negative net order comparables for our fourth quarter. Our best estimate this time is that overall net loss will decline in the mid single-digit range. In absolute numbers, this shortfall equates to between 75 and 125 net orders, but at this level, we would still expect to generate a positive net order value comparison. We do view this as a short-term disruption and expect demand to increase as a result of buyers looking to purchase a home in areas that were less affected by the hurricanes or the demand created by the job growth kind of the rebuilding efforts. Despite the near-term net order impact, we expect to be well-positioned entering 2018 with a robust backlog that supports our revenue expectations. Overall, housing market conditions remain stable and positive with strong employment, wage growth and healthy demand from first-time buyers driving overall demand for new homes. Resale inventory remains constrained averaging 4.2 months across the country and far below that level in most of the markets that we build in, filling that deficit of existing home supply. With this market dynamic ongoing, we remain focused on maintaining our healthy pace and increasing overall price where appropriate across the broad range of opportunities in our built-to-order model, including base price, lot premiums, structural options and studio options. We are confident in our ability to deliver on objectives for 2017, with double-digit growth in revenues, meaningful gains in profitability, higher returns and a lower leverage ratio. Over the last 12 months, we have increased our cash from operations, reduced our debt, and expanded our stockholders’ equity by almost $160 million. And with our returns focused growth plan, we expect this trend to continue. We also believe given our backlog that we can sustain the year-over-year improvement in gross margin for the remainder of 2017 and going into 2018. Another positive for our future is our mortgage joint venture KBHS, which is making solid progress with a capture rate that is improving, allowing for more predictability and deliveries and higher income stream. We are committed to growing our community count and are rotating into a more productive asset base as we continue to build through legacy communities, while opening new communities at higher margins. We recognized the need to open more communities by second half of 2018 in order to sustain the double-digit revenue growth we have produced over the past 5 years and we have the teams and plans in place and the capital available to achieve this goal. A year ago, at our investor conference in October, we expected to increase our revenues year-over-year by about 11%. Today, our expectations reflect 20% growth to about $4.3 billion. And as we look forward to the start of the new fiscal year, with our anticipated year-end backlog, we have set the midpoint of our revenue range for 2018 at $4.7 billion, just shy of our 3-year 2019 target of $5 billion. We are excited about the consistency and strength of our business and in addition to a larger revenue base, we anticipate that 2018 will mark another year of operating margin expansion, continued monetization of the deferred tax asset as we drive higher pre-tax income, and further gains in asset efficiency. With that, I will now turn the call over to Jeff for the financial review. Jeff?
Jeff Kaminski: Thank you, Jeff and good afternoon everyone. As Jeff mentioned, we are pleased with the third quarter performance and the progress we continue to make on a 3-year returns focused growth plan. I will now highlight some of the measurable improvements we generated across our key financial metrics in the third quarter and provide details on our current outlook for the fourth quarter as well as some high-level commentary relating to 2018 housing revenues and community count. In the third quarter, housing revenues grew 25% from a year ago to over $1.1 billion reflecting increases of 11% in homes delivered and 12% in the average selling price of those homes. The significant growth in our housing revenues was largely driven by 19% higher beginning backlog value in the current quarter as compared to the same quarter of 2016 in combination with solid operational execution. Housing revenues were up in three of our four homebuilding regions with year-over-year increases ranging from 9% in the central region to 47% in the West Coast region. Housing revenues in the Southeast region declined due to the wind down of our Metro Washington DC operations, which we announced in the second quarter of last year. We ended the quarter with a backlog value of $2.1 billion, up 14% from the year earlier period. Based on the strong backlog value, we believe we are well-positioned for continued top line growth in the fourth quarter and into 2018. We project fourth quarter housing revenues of approximately $1.3 billion to $1.4 billion and continue to expect full year housing revenues of approximately $4.3 billion, the midpoint of our previous guidance. In the third quarter, the overall average selling price of homes delivered increased to approximately $411,000 driven by increases in our West Coast, Central and Southwest regions and a higher proportion of deliveries in the current year quarter from the West Coast region. Reflecting the strength of our West Coast region’s third quarter net order value and expected regional fourth quarter backlog conversion rates, we are projecting an average selling price for the 2017 fourth quarter in the range of $425,000 to $430,000, a year-over-year increase of about 10%. This is the result of the changing mix of communities within our region and expected proportional mix shift towards their West Coast region and the successful implementation of targeted community and plan specific price increases. Homebuilding operating income in the current quarter increased 49% from the year earlier quarter to $76.7 million, including inventory-related charges of $8.1 million compared to $3.1 million in the prior year period. Excluding inventory-related charges from both periods, our third quarter homebuilding operating income margin improved 140 basis points to 7.4%. We expect to generate another strong sequential and year-over-year improvement in the operating margin for the fourth quarter. At the midpoints of our gross margin and SG&A expense ratio guidance ranges, we expect our fourth quarter operating income margin to be approximately 8.9%. Our housing gross profit margin was 16.9% for the third quarter, excluding 70 basis points of inventory-related charges. This is an improvement as compared to both our prior guidance and the year earlier period. Excluding inventory-related charges and the amortization in previously capitalized interest, our adjusted housing gross profit margin was 21.7%, up 50 basis points compared to the same period of 2016. Since the beginning of this year, we have successfully generated sequential increases in our gross profit margin through improved leverage on fixed costs from higher quarterly housing revenues, deliveries from recently opened higher margin communities, favorable regional mix of deliveries, community-specific gross margin improvement action plan and continued targeted balancing of absorption pace and pricing in our communities. Due to these factors, we expect to generate a meaningful increase in our gross margin for the fourth quarter. Assuming no inventory-related charges, we expect the fourth quarter housing gross profit margin to be in the range of 18% to 18.3%, representing at the midpoint an increase of 35 basis points as compared to our previous guidance and a year-over-year improvement of 115 basis points. Our selling, general and administrative expense ratio of 9.6% for the quarter improved 120 basis points from the year earlier quarter and set a new third quarter record low for us. This significant improvement reflects our ongoing cost control initiatives and the favorable leverage impact from higher housing revenues. We currently anticipate that our fourth quarter SG&A expense ratio will be in the range of 9.2% to 9.4%. Income tax expense for the quarter was $29 million which is a predominantly non-cash charge against earnings due to our deferred tax asset represented an effective tax rate of 36.6% and included a favorable impact of $2.6 million from federal energy tax credits. We expect our effective tax rate for the fourth quarter of 2017 to be approximately 39%. Turning now to community count, our third quarter average of 234 was essentially even with the same quarter of 2016. Higher average community counts compared to the year earlier quarter in our West Coast, Southwest and Central regions are entirely offset by a decrease in our Southeast region. During the third quarter, we invested $417 million in land, land development and fees, with $213 million of that amount representing new land acquisitions. We anticipate that our fourth quarter overall average community count will be approximately lat, which compared to the corresponding prior year period. As Jeff discussed earlier, we remained focused on growing our community count driving top line revenue expansion as key components of our core business strategy and returns focused growth plans. While we current project our 2018 average community count to be flat to slightly down for the full year, we expect we will have more open selling communities by the end of 2018 as compared to year end 2017. Combined with our anticipated year end backlog, we believe the number and mix of our open selling communities in 2018 will generate full year housing revenues in the range of $4.5 billion to $4.9 billion. Moving on to the balance sheet, we have made meaningful progress over the past year on our goal of improving asset efficiency. As previously announced, during the quarter, we were able to successfully increase the commitment level under our unsecured revolving credit facility to $500 million, along with an extension of its maturity to July 2021. We ended the third quarter with total liquidity of nearly $1 billion, including $494 million of cash and $467 million available under our upsized revolver. In the four quarters since August 31, 2016, we have increased our cash balance by $159 million, reduced debt by $153 million, and generated $158 million of incremental stockholders’ equity resulting in a 580 basis point improvement in our net debt to capital ratio to 52.2%. At year end, we believe our net leverage ratio will improve to around 50%, the high end of our stated 40% to 50% mid-term goal. In early, August S&P raised our corporate credit rating to B+ while maintaining the positive outlook. Subsequent to quarter end, we repaid the remaining $165 million of our 9.1% senior notes on the maturity date in mid-September. Combined with the $100 million reduction in the first quarter, the total $265 million elimination of our most expensive debt will result in an annualized reduction in interest incurred of approximately $24 million. In summary, we delivered another quarter of strong financial performance particularly the 25% year-over-year increase in total revenues, the 140 basis point improvement in homebuilding operating income margin, excluding inventory-related charges and growth in diluted earnings per share of $0.51. We made measurable progress across our key financial metrics in the quarter as we continue to execute on our roadmap for returns focused growth. Due to the successful community level management of pace and price during the quarter and continued efforts to contain construction cost increases, we generated a 15% year-over-year increase in our net order value supporting future revenue growth and have increased our midpoint fourth quarter housing gross profit margin expectation by 35 basis points. For the full year, based on our solid third quarter performance and assuming midpoints of our forecasted guidance for the fourth quarter, we expect to generate a 20% year-over-year increase in housing revenues, a full percentage point of incremental operating margin, excluding the impact of any inventory-related charges and over 300 basis points of improvement in return on equity. Finally, we would like to announce an investor conference call on November 7 to provide an update on our progress towards achievement of our 3-year returns focused growth plan objective as well as additional guidance for 2018. Further details relating to call logistics will be communicated next month. We will now take your questions. Gary, can you please open the lines?
Operator: [Operator Instructions] Our first question comes from Alan Ratner of Zelman & Associates. Please proceed with your question.
Alan Ratner: Hey, guys. Good afternoon. Congrats on the strong quarter and appreciate all the color you provided on the hurricane and that is very helpful. You guys have had, it seems like a lot of success balancing the price and volume mix. And I was curious if you can maybe give a little bit more color on exactly what type of pricing power do you have? And if you look across your markets, we see a huge increase in ASP. You mentioned a lot of that is mix or some of that is mix. I was curious if you could just kind of talk a little bit about what the apples-to-apples price increases you are seeing in some of your communities and how that compares to what you would see on the cost side? Thank you.
Jeff Mezger: Alan, as you know, we already paid through communities pretty quickly, opening, closing turning them over year-to-year. So, it’s very difficult to do an apples-to-apples on price, because they are not identical products in an identical location, what we shared on the call that we had a mix shift in California, which is also where within the quarter we saw the strongest pricing power. So, we had a combination of being able to take price at the same time your mix rotates to higher ASP. If you look at our ASPs in the other regions, they really didn’t move up much more than incremental increase. And I would say that we are successful in raising price above any direct cost increases that we had and that’s been probably why our margins were able to pickup a little. There is still cost pressure, but we are able to cover in the price.
Alan Ratner: Thanks for that. So, second question on the community count, it sounds like you guys are definitely focused on getting that moving in the right direction there and it’s flat for a while. Just curious that if you can give a little bit more color on why you are comfortable guiding for that will inflect positively in the second half of ‘18, because if I look at your land spend, it’s been holding pretty steady. Your lot count has been steady, maybe declining a little bit. So, where do you see that growth coming from and do you need to see the lot count move higher from here on to that point in order to hit those targets?
Jeff Mezger: In part, Alan, the increase in community count is tied to our current tracking schedules while we have controlled, when we would get them opened, when we book first sales and we think we are at a trajectory to achieve the increase in the second half that Jeff referred to. When you look at our land spend, the numbers can move quite a bit between land acquisition and development and fees. And we shared before in California as an example, you pay a lot of fees when you start grading. So, it looks like it’s heavy dollars invested into land acquisition development when it’s really the fees you are paying per unit upfront. So, from quarter-to-quarter, the numbers been fairly static, it’s moved a little bit between development and acquisition and we have been slightly ticking it up over the last couple of years. As the quarters go by keeping in balance our returns focused growth, but we have plans in place to our achieve our community count growth metric.
Operator: Our next question comes from Stephen East of Wells Fargo. Please proceed with your question.
Stephen East: Thank you. Good afternoon, guys and congratulations on a good quarter there, Jeff. Jeff, maybe I can just follow-on that a little bit, with the hurricanes, everybody is talking about hey, you probably have some labor shortages out there etcetera. Do you see any of that one on your land development as you look into next year? And two, you all have been pretty optimistic on your gross margin and you have been beating it, but as you look into ‘18 what are you all expecting, what are you seeing or hearing right now on the ground with labor costs and supplies moving forward in lumber and any other raw materials that might have some shortages there?
Jeff Mezger: Stephen, relatives to the hurricanes, you are asking a good question. And it’s very hard to project. In that we know there is going to be pressure on labor materials in Florida and Houston, we don’t know to what degree and that there isn’t a lot of funding to start repairs. What we have been doing as a company is procuring the materials for our deliveries we have already procured into the second quarter and it’s a benefit of being in our built-to-order model and knowing your starts and you have visibility in your production. So, we are going to our subs and lock them down. We are going to our suppliers and locking them down now. So, we can stay ahead of it. And if there are no more hurricanes, I think it won’t be a significant impact as you see in the media when we reflect back and when Florida was hammered with hurricanes back in ‘05, there was a succession of hurricanes where homes were already exposed and damaged and there came the next one and damaged things even further. And right now, we are not seeing anywhere near the level of damage that we saw back in ‘05 in Central Florida. So, we are cautious about it. We are concerned. We are taking the steps we can to manage through it and we keep an eye on it, but all those assumptions are baked into the guidance that we gave for next year.
Stephen East: Alright, that’s really helpful there. And then you all have been talking about you are moving towards fewer options and hit your entry level and we seem to be having some success with that. I guess, a couple questions there, Jeff, probably, one, how far have you rolled that out and how much further do you want to roll it out and is that playing any meaningful part in your gross margin beat that you have been seeing?
Jeff Mezger: It’s an interesting process, Stephen. You picked on I think after our comments on the last quarter call. It was a classic example, where you always add things and you never take things away. And our system was summed up with a bunch of SKU on items that the customer wasn’t taking, but we are still pretty loud in offering and keeping in the system. And companywide, we eliminated about half the SKUs that were offered. We are on the system. And in this process, you take a whack like that and you lowered the SKUs that are available. As things settled down, our revenue per sale didn’t change. So, we probably did the right thing. We got rid of some bloat in the in the system without affecting our sales and we will go back in and do another round and see if we can refine it more. All I can share anecdotally if you are bidding half the options you were before and the subcontractors and suppliers are only having the price half than what they were before, there is some efficiency in the system, but I don’t know that we really – we can say yet that it’s driving the gross margin improvement.
Operator: Our next question comes from Michael Rehaut of JPMorgan. Please proceed with your question.
Michael Rehaut: Hi, good afternoon everyone and nice quarter. We have had a couple of questions here. I appreciate as well the commentary in the hurricanes and a lot of I guess difficulty kind of ascertaining at this point what some of the impacts might be, but Jeff, you mentioned an interesting thing if I heard it right that you are trying to lock down with certain trades at a minimum to guarantee labor. Just want to make sure I heard that right? And I guess, the question around that is, is this something where it’s our understanding that there is a portion of labor that does move around a little bit. Just trying to get a sense over the next quarter and even into the next year if the degree to which you are able to kind of get your subcontractors so to speak locked in to a degree and how the degree to which that’s possibly I suppose?
Jeff Mezger: Michael, split the cost between labor and material. More specifically, it’s lumber, rock, shingles, all those things that we know we will be in short supply as the rebuilding goes on. That’s all controlled now. Labor, we are working with our contractors especially in the cities where we have a lot of scale. We call ourselves a builder of choice, because they like the continuity and starts in the business and we are working with them in raising our commitments to them on how many starts we will give them and getting visibility deeper in to next year on the labor side, but we are not naïve if the team starts writing checks and we are paying a framer $5 and seem funds bump in and they are offered $10, you are going to be in a chase for that, that contractor. So, we are doing what we can to get more visibility, commit more starts to people on a bigger scale and certainly locking down the material and then we will just deal with it as it comes.
Michael Rehaut: Okay, great. And I appreciate that. I guess, also, SG&A, I guess is more for perhaps Jeff Kaminski, I believe you have the SG&A for next quarter flat to up a little bit year-over-year flat to up 20 bps, which is a good contrast to the first three quarters. And I think you came in about 50 bps or more better than your guidance for 3Q. So, is there just kind of a continued level of conservatism here, Jeff, that you are trying to bake into that number or is it something else going on that kind of gives you the better visibility that either post hurricane or whatnot I am not sure that we shouldn’t look at that number as well as being perhaps a little conservative?
Jeff Kaminski: I could not comment on the, Mike. First of all, I would like to say I appreciate the recognition of how well we are doing in SG&A. We are very proud of it that we have had now four consecutive quarters of new record low SG&A and that stream started with the fourth quarter last year. So, we are getting through some pretty tough comps. In the fourth quarter of 2016, frankly, it will be hard to beat. We would like to beat it. And as you pointed out, the lower end of our range that is just part of the same level. Our fourth quarter forecast right now assumes about a 26% incremental increase in SG&A as a percent of incremental housing revenues plus $1 million or $2 million to cover other potential fixed cost increases. We don’t think it’s overly conservative. We think it’s about where the business should be operating. This potential upside, if our revenues are higher than our midpoint of course and things like that, but you never know quarter-to-quarter, I mean, there is always one-offs. There is always one-off negatives and one-off positives due to various reserve and accrual adjustment etcetera. And it’s pretty sensitive, I mean, $1 million or $2 million moves our ratio 10 or 20 basis points. So, we think we have affected our rate. We have been on a really nice streak. We are starting to anniversary some really tough comps in the last year in the fourth quarter. Everything went the right way for us. So, if we reached that level, we will be really happy.
Operator: Our next question comes from Nishu Sood of Deutsche Bank. Please proceed with your question.
Nishu Sood: Thank you. So, thinking about the closings and the revenues in 4Q, I think taking the revenue and the ASP, it works out to about mid 3,100 range in terms of closings roughly for 4Q. Are you anticipating in that number some sort of delays from the hurricane events? And I was just wondering if you could kind of specify that for us?
Jeff Mezger: Nishu, any delays were already baked into that number. So, we take the math into consideration and to me, one of the things that I can finally reinforce as a real benefit of our business model, if you think about it, where your deliveries are sold and then started, we have the homes under construction and already sold that we need for our fourth quarter. And if we watch sales for a month or two weeks, three weeks, whatever the speed bump is here in sales, it doesn’t affect our short-term delivery cycle, because they are already sold. So, in Houston, we lost some deliveries in the third quarter, but its okay we have to replant a tree that blew over, we need to get reaffirmed appraisal that the home is complete and you close it. So, you lose a week or two, if not you lose, 3 weeks of sales and therefore you just defer your deliveries, because your sales went down. So, actually what we are working on is the visibility we now have, the sales shortfall from the hurricane will actually play out end of Q1 and into Q2 and we have 5 months to manage through that now and figure how fast the build times or how do we cover the sales shortfall, but in Houston and in Florida, the contractors went right back work as soon as they could, because they also were shutdown for a few weeks and lost their income hurricanes. So, we are actually out of the gates of very high productivity in both states where subs wanted to get right back to work. And we will see how it plays out over the quarter, but it’s baked into our guidance.
Nishu Sood: Got it, got it. So, yes, I am hearing that if I am understanding that correctly, it sounds like the impact on delivery delays, well, it won’t be that extensive by the time we get to the end of 4Q, yes, that definitely does sound encouraging. The other question I wanted to ask was the average selling prices have risen pretty nicely this year on mix from 360s to kind of high 420s, it sounds like it’s going to end up this year, how should we based upon the mix of communities that you have opening, how should we expect that to trend through into and through ‘18?
Jeff Mezger: Nishu, I think we will pull back on that and give you more detail in November during the call. Right now, we are providing high level guidance on the revenues to correspond with what we think is happening with community count and some of the more detailed I think guidance points, we will lay it off for now.
Nishu Sood: Okay, thank you.
Operator: Our next question comes from Stephen Kim of Evercore ISI. Please proceed with your question.
Unidentified Analyst: Hi, this is actually Chris [indiscernible] on for Steve. Again, congratulations on the quarter. I was just wondering whether we could hear in on the California market say obviously, you have just highlighted the Bay Area, but as demand continues to grow in more inland areas, are you seeing the same ability to achieve similar pricing power in those markets?
Jeff Mezger: On a relative basis, yes, but when you get 5% of price on $500,000 house is different than 5% of price on $1 million dollar house in the Bay Area. Right now, there is a very strong market in the Bay Area. There is a shortage of product on the market. Prices are still moving up. And as they move up, it moves buyers a little more in them, because there is strong demand to be a homeowner and they will go where they can afford to buy a home. So, we saw price in both Northern and Southern Cal in the inland areas in the the third quarter.
Unidentified Analyst: Okay. And I guess sort of in the more affordable inland areas, are you kind of seeing an affordability threshold emerge or do you still think price how far that you go to?
Jeff Mezger: Well, not at this time, if you look at our – that we are able to take price while holding our absorption pace and that’s why we keep talking about this balance. If we saw that our sales paces were slowing, we would do something to hold to our sales pace, because we returned the inventory, but right now, with the shortage of inventory and all the positive things I mentioned first time buyers coming out, wage growth, employment growth, all these good things are going on and there is more demand out there right now than there is supply. So, we are being a little opportunistic. And if the demand were to slow up a bit, we will pivot and move in a different direction, but right now, we are holding course on our current strategy.
Unidentified Analyst: And then sort of in relation to the delayed homes in Houston, are you able to tell us whether those homes had margins in the line above or beneath the company average?
Jeff Mezger: Yes, strong margins in Houston.
Operator: Our next question comes from Jay McCanless of Wedbush Securities. Please proceed with your question.
Jay McCanless: Hi, good afternoon. Yes, good quarter. Just wanted to ask really quickly, make sure I have got the math right yet, did you guys you lost in the order per week in Houston on 30 communities?
Jeff Mezger: Are you talking about the third quarter hit?
Jay McCanless: Yes, yes.
Jeff Mezger: Yes. Well, it was more than Houston that it was also impacted in Austin and San Antonio to a lesser degree, 60 to 80 orders between the two.
Jay McCanless: Okay, got it, between the three, okay. And then the second question I had just so we get a sense of context for Florida, how many homes did you guys delivered there last year and how many have you already closed on this year, just trying to get a sense of how much potential still down there if it’s tough to get the contractors and get the subs in?
Jeff Mezger: Yes, right. What we like to look at, I mean, as far as exposure of the company and exposure to the financials, Florida represents about 9% of the company’s total housing revenues and that’s how we view it. So, it’s not zero obviously, it’s not only significant. I think one important thing to remember about our Florida business is we have a disproportionate share of reactivated communities in Florida. So, the revenues that they do generate in Florida are generally below company average margin because of just the mix of business between core communities and reactivated communities. So, again not to deemphasize that you are understated, but it’s 9%, another 9%, it’s more or less profitable sales and revenues in the company.
Operator: Our next question comes from Bob Wetenhall of RBC Capital Markets. Please proceed with your question.
Unidentified Analyst: Hi, good afternoon. This is actually [indiscernible] on for Bob. Congrats on the quarter and thanks for taking the questions. First one after major storms like Harvey and Irma, the demand for housing it’s much more immediate, much more urgent. I was wondering how does it factor into your building strategy? Are there any thoughts on increasing the construction of spec homes?
Jeff Mezger: Not at this time. As I shared in the comments, we are back open for sale. In fact, we have several grand openings on the horizon here in Houston and we will continue to sell homes in our built-to-order approach then let me personalize them and we will start them in the Q. But to us, when I say return to normal, it’s more the infrastructure, the utility companies, people settle back down and visiting our communities again. So, we will continue to operate within the guidelines of our business model.
Unidentified Analyst: Got it. Thanks. And then just the question on the cycle time, can you comment on the impact that the recent hurricanes had on the cycle times in the market that got hit. I know that in the past you talked about somewhere between 5.5 and 6 months as being a normal cycle time depending on the city, just curious if you anticipate any increase in cycle times from contract to close?
Jeff Mezger: To qualify at the end, our cycle time of 5.5 to 6 is from contract to close. In Texas, if you use Houston as an example, it’s one of our fastest build time cities in the country. We probably build our homes there in 3.5 months. And once they are through, they will start the process. And I would say right now, it’s too early to call whether cycle times have been impacted, because as soon as roads cleared and people can get back to the community as all of our contractors went right back to work.
Unidentified Analyst: Thank you.
Operator: Our next question comes from Mike Dahl of Barclays. Please proceed with your question.
Mike Dahl: Hi, thanks for taking my questions. Jeff, I wanted to go back to a question of Steve asked about community count and how to think about it as it relates to potential for development delays? And maybe, could you share with us kind of how many openings are scheduled in the storm impacted regions for 2018 and whether or not there has been a shift in that number since prior to the storm?
Jeff Mezger: Right. Mike, like we said earlier, we are not going to get into too much detail in 2018 at this point, we are still very focused in closing out what’s been so far a very strong year for us and we will continue to stay focused in the fourth quarter. But with that said, probably, the largest impact we see short-term as far as community openings goes into Houston market, where we have 6 planned openings for the fourth quarter. Subsequent to the storm hitting, we have reviewed with our local operations, we have reviewed the status of all those communities. And we believe 5 of the 6 are very secured as far as opening in the quarter and we believe we can actually get all 6 built and opened in the quarter. And of course, we are all going through various phases of timing and development, one, we just announced 2 days ago where it opened. So, we feel pretty good on the short-term and as far as being ready for spring selling season. Florida, as far as community openings there go, our community count has been ticking down in the Southeast as we have been addressing a number of improvements in our operations, frankly and we had more openings scheduled for next year, but we don’t think we will be impacted tremendously as we move through the year, but it’s still pretty early and there is a lot to come and a lot to play out in relation to the recovery of the storm, but we don’t think there is anything significant and we have contemplated all of that in the guidance, the high level guidance that we have provided really in the community count earlier during the call.
Mike Dahl: Okay, understood. And you said that you didn’t want to get into too many details on ‘18, but just thinking about SG&A kind of directionally, you did mention kind of you are starting to run up against more difficult comps and clearly the revenue growth has been really helpful in terms of helping delever the SG&A as you pivot towards at some point through the balance of 2018 towards growth in community count, how should we think just high level about ability to further lever SG&A as we get into that environment?
Jeff Mezger: Well, I think I will respond to that a little higher up and talk more about operating margin. We have made really nice strides in operating margin since our industrial conference last year in the fall. And we are pretty pleased with how we have progressed along what I’d say the line towards the achievement of our 3-year goals. And for 2019, we stayed at – we would like to be between 8% and 9% operating margin and 17%, which is clearly on that path and we will comment more on ‘18 at the call, but we will continue to focus on operating margin this year. It was more skewed towards SG&A improvement and we will see a little bit of margin improvement and we will see for the 50 years, but we are still committed with goals. The company is still focused on hitting those 3-year targets and you spoke a lot both on the gross margin side and the SG&A side in order to achieve it.
Mike Dahl: Okay. Thanks, Jeff.
Operator: Our next question comes from Susan McClary of Credit Suisse. Please proceed with your question.
Susan McClary: Thank you. Good afternoon. I guess a question, you guys have talked a lot about affordability and your ability to raise prices even in areas like California, are you seeing though any shift in terms of the sort of options, people are selecting in your design studio in an effort to sort of maybe offset some of that pricing power that you are putting through?
Jeff Mezger: We really haven’t seen that. I have shared over the last few years, the buyer has been more of a value buyer, where they are putting into a different room configuration, a bigger kitchen with island options and things like that. It’s more functional features versus the physical features like 6-level granted instead of one or Jacuzzi tubs or things like that. It tells me the buyer that we are seeing today and tends to live in the home, stay in the home. It’s an investment, but it’s a longer term horizon for them. And I’d say that’s been pretty constant over the last 3 years.
Susan McClary: Okay.
Jeff Mezger: If there is an affordability it’s the other side of our business model. We won’t typically offer more floor plans than our competitors in a community. So, if the buyer can’t afford the 2,400 square foot home, they can’t quality – with the features they want, if they can’t qualify for but they like the area, won a new home, built trade down to the 2,200 foot home and still buy a home. And that’s some type of homebuyer that we are seeing today. The biggest home I can afford that has these features in.
Susan McClary: Okay, perfect. Thank you. And then just in terms of the reactivated communities, can you give us sort of an update on where you stand with those and maybe how that compares to where you expect it to be?
Jeff Mezger: Right. If you look at the revenue side, it’s held very constant. I think in the quarter, we had about 12% of total revenues came from reactivated communities. We are still continuing on the game plan we have been on as far as activations and I think very importantly we have activated so many communities now up to this point, that we are now in the phase of working through the initial activated section and getting to Phase 2, Phase 3, Phase 4 as we look through the rest of the communities. So, we are still remaining very aggressive on it, still a big target for us, it’s still a large part of our efficiency program and being able to recycle those dollars into productive assets and it’s been a large part frankly of the very nice cash flow that we have been generating at the business and along with a lot of flexibility to do to basically both grow the business through additional investment as well as to delever the business. So, the net leverage ratio coming down as much as it has this quarter. It’s been aided by that and it’s just basically right according to the plan that we set out and we are seeing the results that we expected kind of off the initiative.
Operator: Our next question comes from Jack Micenko of SIG. Please proceed with your question.
Unidentified Analyst: Hey, good afternoon guys. This is actually Soham [ph] on for Jack. So, my first question was on SG&A leverage and it looks like your G&A line, you are roughly 3.5% growth as a percentage of sequential revenue growth when that’s historically been in the 5% to 6% range. So, just wondering what’s driving that this quarter and if fin your view, the mix shift to left now with the higher ASPs having an even more pronounced impact on leveraging than you were previously expecting?
Jeff Mezger: Right. Yes, there are several factors impacting it this quarter. The mix shift towards the West Coast is one of those factors. We do have a lower variable cost percentage in the West Coast mainly due to higher ASPs and things like lower percentage of commissions and things like that. It does definitely help on the continued cost containment that we then really put in place across your company in addition to our expanding revenues it’s been probably the number one driver on that. And we have also seen for this particular quarter relative to guidance, we are slightly above the midpoint of our revenue guidance, additional leverage. In addition in the third quarter, like all quarters, there were a few unusual items both positive and negative. And we had a small net positive impact this quarter sometimes it goes the other way so that was also contributing factor.
Unidentified Analyst: Okay, got it. And then on the pace and price dynamic, it looks like majority of your order growth came from absorptions and you have previously talked about targeting sort of that 4 times per month sort of range, but you are sort of tracking slightly below that for the year now. And with pricing power, it appears to be strong. Does that still a meaner target for you guys, are you able to lower the threshold in order to generate a high return?
Jeff Mezger: It’s a balance. And it’s not that the 3.7 has been under performer, there is also seasonal cycle and if we are going to average 4 for the year, you will typically average 4.3, 4.5 in the second quarter, then it dips under 4 in the third quarter. It’s a little lower in the fourth quarter. So, we are actually very close to our targets. And as long as we can hit those targets, we will go for price. If we drop below those targets, we will do other things and it’s not just your margin at your inventory turns, so it’s that delicate balance between the two.
Operator: Our next question comes from Carl Reichardt of BTIG. Please proceed with your question.
Carl Reichardt: Hey, thanks. Jeff, I have got some mix commentary from your peers on this. But I am curious that we think about the potential for labor drain away from approximate markets to Houston in particular. So you are kind of fairly good sized operation to Austin and San Antonio starting at Dallas. Is your expectation at 115 and ensures numbers come through that you might see some drain and those markets could show some slowdown in cycle times that you are not anticipating that?
Jeff Mezger: They possibly could. It’s speculation on – again, I referenced teem before the hurricanes that ran through Central Florida, Fort Myers up to Orlando 105, a lot of the contractors actually came from the Midwest. And there is a component of our trade base that’s nomadic and they will go where the highest dollar is and then there is a component that stays in the values relationships and commits to the work and enjoys the partnership. So, it’s a mixed bag and we are very watchful of it right now. We will see how it plays off.
Carl Reichardt: Okay, fair enough. And then again I know you don’t want to talk too much about ‘18 but either Jeff whatever your community count in ‘18 ends up being, are you expecting any kind of significant shift in the customer mix, ex-geography, so slightly more aggressive moves toward entry level, I think 53% was your delivery count for first time buyers this quarter. Where would that likely to stay roughly what it has been? Thanks.
Jeff Mezger: Yes, Carl, it’s kind of interesting. Jeff and I were talking about it before the call. There is very few of our communities that don’t attract first time buyers. It’s very broad across all of our cities. And we like that. We like to be where the meat of the market is and it’s certainly a consumer segment where demand is growing right now. So, it’s a great place to be. If you look at the community count this year and Jeff shared in his comments, we are down in the southeast, offset the growth in the other three regions that are all performing well and growing and we have got additional communities targeted. And in the southeast, the drain on community count will shutdown in Deep Sea and we pulled back in some of the cities and so we could fix our execution. The executions are now fixed and you will see our community count start to grow in the Southeast region going forward, because we are reinvesting there while we are investing in our other ongoing businesses as well. So, we think coming out of the year you will see community count growth and I think you will see a similar buyer profile to what we have today.
Operator: Ladies and gentlemen, this concludes today’s teleconference. Thank you for your participation. You may now disconnect your lines.